Operator: Good day, everyone, and welcome to the Jack in the Box Incorporated third quarter 2009 earnings conference call. Today’s call is being broadcast live over the Internet. A replay of the call will be available on the Jack in the Box Corporate website starting today. (Operator Instructions) At this time, for opening remarks and introductions, I would like to turn the call over to Carol DiRaimo, Vice President of Investor Relations and Corporate Communications for Jack in the Box. Please go ahead.
Carol DiRaimo: Thank you, Angie and good morning, everyone. Joining me on our call today are Chairman and CEO, Linda Lang; our President and Chief Operating Officer, Paul Schultz; and Executive Vice President and CFO, Jerry Rebel. During this morning’s session, we will review the company’s operating results for the third quarter of fiscal 2009 and discuss guidance for the remainder of the year. Following today’s presentation, we will take questions from the financial community. Please be advised that during the course of our presentation and in our question-and-answer session today, we may make forward-looking statements that reflect management’s expectations for the future, which are based on current information. Actual results may differ materially from these expectations, based on risks of the business. The Safe Harbor statement in yesterday’s news release and the cautionary statement in the company’s Form 10-Q filed with the SEC last night are considered a part of this conference call. Material risk factors, as well as information relating to company operations, are detailed in our most recent 10-K, 10-Q, and other public documents filed with the SEC. These documents are available on the investor’s section of our website at www.jackinthebox.com. A couple of calendar items to note -- Jack in the Box management will be participating at the RBC Capital Markets consumer conference in New York on September the 16th and our fourth quarter and fiscal year-end on September 27th, and we tentatively expect to release results the week of November the 16th. With that, I will turn the call over to Linda.
Linda A. Lang: Thank you, Carol. Good morning. As you saw from our news release, our third quarter performance included positive earnings results. On one hand, we are very pleased with the continued improvement in our restaurant operating margin, especially in light of the sales deleverage at both Jack in the Box and Qdoba. We are also pleased with our refranchising efforts, including the expected sale of a lower performing market. On the other hand, the same-store sales deceleration we experienced at Jack in the Box was unexpected but not inconsistent with what we’ve seen across the industry. Same-store sales at our company Jack in the Box restaurants decreased 1% in the quarter. On a regional basis, same-store sales in Texas remained positive, California turned slightly negative but was better than the overall results, while Las Vegas and Phoenix were worse. At the time we issued third quarter guidance, same-store sales were strong but comp sales deteriorated near the end of the quarter. The nation’s weakened economy is continuing to impact discretionary spending with rising gas prices and unemployment. Additionally, we are seeing significant promotional and discounting activity at other QSRs, as well as in the casual dining segment of the industry. We expect the sales environment to remain challenging for at least the balance of the calendar year, which is reflected in our fourth quarter guidance. To address our guests’ need for value, we believe the most effective strategy for us is to bundle products and offer them at a compelling price point without significantly eroding margins. In mid-July, for example, most of our system began offering a bundled meal called the Big Deal. It features a cheeseburger, taco, small order of fries, and a small drink all for $2.99. This is a tremendous value for our guests. We currently have additional value-priced product or promotions in test elsewhere in our system. In the third quarter, we saw growth in sales of our premium products, as well as our value offerings, and our lunch and dinner day parts remained relatively stable. But we saw some weakness in our breakfast day part, which we believe was due in part to rising unemployment. This week we launched a new breakfast item, a Chirizo Sausage Breakfast Burrito, which we think will help refocus consumers’ attention on Jack in the Box in this important day part. We also saw some fall-off in sales as side items, carbonated beverages, and shakes, which we believe is indicative of consumers’ continuing to cut back on discretionary spending. Economic pressures also continued to impact Qdoba's system-wide same-store sales, which decreased 2.8% in the quarter, in line with our expectations. May and June is a time when catering sales are typically high as people celebrate graduations and for Qdoba, Cinco de Mayo is a popular occasion that also drives catering sales. But our catering business remained soft during the quarter, another casualty of tightened consumer spending. Along with menu innovation, service is a major focus of our Jack in the Box brand reinvention initiative and our investment in employee training to reinforce the six key tenants of guest service continues to favorably impact execution at our restaurants. By focusing on hot food, a clean environment, friendly employees, order accuracy, a hassle-free experience, and speed of service, our restaurants once again received higher guest satisfaction scores in the third quarter, continuing the improvement we saw in the first half of the year. We are also pleased with our restaurant development pipeline and the performance of our newest locations. We now expect to open approximately 60 Jack in the Box restaurants for the year. Finally, we expect to complete the sale of our 61 Quick Step convenient stores before fiscal year-end. I want to again thank all of our Quick Step employees for their hard work and dedication, especially during this transitional phase. And now I will turn the call over to Jerry for a closer look at the financial side of the business.
Jerry P. Rebel: Thank you, Linda and good morning. Our third quarter earnings from continuing operations of $0.57 per diluted share compared to $0.50 last year, up 13%, despite gains which were $6.5 million lower than last year. Our restaurant operating margin of 18.4% was slightly better than we expected, up 170 basis points versus last year and up 190 basis points versus the second quarter. Food and packaging costs accounted for most of the improvement versus last year as we saw some favorability on the commodity cost front. Year-over-year commodity costs were 0.8% lower in the quarter versus inflation of 3.3% in the second quarter, and nearly 8% up in the first quarter. The biggest benefits versus our prior guidance related to beef which was down approximately 4% and cheese which was down more than 25% from last year’s third quarter. In addition, margin friendly product like our mini sirloin burgers and Teriyaki bowls, along with the benefit of effective price increases at Jack in the Box and margin improvement initiatives positively impacted margins. Restaurant operating expenses were 50.1% of sales, equal to last year. Good labor cost controls and lower utility costs offset higher depreciation resulting from the kitchen enhancement program we completed last year and our ongoing restaurant reimage program at Jack in the Box, as well as higher rent, depreciation, and sales deleverage at both brands. Lower turnover continued to benefit labor costs and we believe is also contributing to the higher guest satisfaction scores Linda mentioned earlier. Qdoba margins improved significantly from the second quarter due to lower commodities and margin improvement initiatives. SG&A was 10 basis points lower than last year as impairment charges and higher pre-opening costs were largely offset by favorable mark-to-market adjustments, causing [inaudible] of insurance products supporting our non-qualified retirement plans. On refranchising, we completed the sale of 23 company-operated Jack in the Box restaurants to franchisees in three transactions with gains totaling $11.1 million in the third quarter compared with $15.2 million in the year-ago quarter from the sale of 17 restaurants. Partially offsetting the gains in the quarter was a $2.4 million loss related to the expected sale of a lower performing Jack in the Box company-operated market that we anticipate will be completed by the end of the calendar year. We’ve recorded the estimated loss on this transaction in the third quarter as accounting rules require us to recognize losses when they are probable, even though the transaction has not yet closed. Excluding this loss, average gains were $482,000 in the quarter, lower than last year’s average due to the sales volumes and cash [inaudible] of the restaurants [closed]. We provided $5.3 million in financing during the quarter on one of the three refranchising transactions. At quarter end, we had $12.3 million of outstanding notes receivable related to refranchising transactions, of which $2.8 million has been repaid thus far in the fourth quarter. For the full year, we now expect to complete the sale of approximately 150 company-operated Jack in the Box restaurants to franchisees. Up from our prior expectation of 120 to 140 restaurants. The uncertainty of the exact timing on some of the transactions is reflected in our guidance range for gains and EPS for the year. Overall, we are pleased with the progress we have made this year on our refranchising strategy considering the tight credit markets. As for Quick Step, we recorded an after-tax loss of $14.1 million, which is included in discontinued operations. We expect the proceeds to be approximately $29 million plus the value of inventories, which at the end of the quarter were approximately $6 million. And for clarification, Quick Step is the only item included in discontinued operations. Before I review our guidance for the fourth quarter, I would like to provide an update on our commodity cost outlook for the remainder of the year. In Q4, we are projecting beef costs to be 15% lower than last year as we lap the spike that occurred last summer. This should drive a significant improvement in restaurant operating margin compared to Q4 last year. We have 100% of our import 90s covered through October at prices in the low $1.30s, somewhat higher than our Q3 costs of $1.27 per pound for import 90s. We expect [beef 50s] to average in the mid $0.70 per pound range in Q4 versus approximately $0.80 per pound in Q3. Other commodities, such as pork and cheese, are expected to increase slightly in Q4 compared to Q3, but will still be significantly lower than last year fourth quarter. Our full-year guidance now calls for commodity costs to increase by approximately 2% versus our prior outlook of approximately 3%. As we start to look into 2010, we expect commodity costs for the full year to be approximately flat, with year-over-year comparisons more favorable in the first half of the year than the second half. We will further update our thinking on commodities on our November call. Now let’s move on to the rest of our guidance for the balance of the year on some of the key line items. We expect same-store sales for Jack in the Box company-operated restaurants to range from down 2.5% to down 4.5%, and system-wide same-store sales for Qdoba to decrease from 2% to 4% in the fourth quarter. And our guidance reflects the softer sales strength that we’ve seen since mid-June for Jack in the Box. We expect our fourth quarter restaurant operating margin to be approximately 16% of sales versus 13.6% last year, which was impacted by Hurricane Ike and high commodities. Restaurant operating margin is expected to be lower in Q4 versus Q3 due to the following: the sales deleverage at Jack in the Box company restaurants as we’re forecasting comps to be down more than we saw in Q3. Deleverage aside, Q3 typically generates a higher restaurant operating margin than Q4 due primarily to higher seasonal sales volumes and higher beverage incidents in the third quarter. And lastly, the impact of the recent federal minimum wage increase. We now expect CapEx to be approximately $175 million for the year and our preliminary view is that CapEx should come down by about $25 million next year. And finally, we expect the full-year EPS from continuing operations of $2.11 to $2.18, including franchise gains of $65 million to $70 million. And now I would like to turn the call back over to Linda for some final comments.
Linda A. Lang: Thank you, Jerry. Before opening up the call to questions, I want to emphasize that we remain focused on the long-term execution of our strategic plans, including menu innovation, reimaging and refranchising the Jack in the Box brand, as well as expansion into new markets for both brands. While investing in the future, we remain committed to evolving our cost structure to reflect a primarily franchised organization. As a result, we believe the company and our brands will be very well positioned for success when the economy improves. Lastly, I would like to take a moment to thank all of our employees and franchisees for their tremendous support and continued dedication. And now I would like to turn the call over to the Operator to open it up for questions. Angie.
Operator: (Operator Instructions) Lawrence Miller with RBC Capital Markets.
Lawrence Miller - RBC Capital Markets: Actually, I have one question, two parts, if you will -- Linda, can you talk about in the quarter the sales weakness that you think was macro and maybe the sales weakness that you think might have been related to a product promotion, maybe the chicken sliders that didn’t work as well as maybe you thought it would be. And then secondly, you mentioned value as a way to get sales back on track. Can you share with us any specific data points or things that would make people more comfortable that yeah, it’s value that you can do and how you are differentiating value relative to everyone else is doing a lot of, like you mentioned, promotional discounting. Thanks.
Linda A. Lang: Good morning, Larry. I’ll talk about the quarter’s sales. As you know, in the last call we were pretty bullish on our sales and things started out well for the quarter and then in really around June, mid-June or so, early June, we really saw a decrease, a significant deterioration in the sales with June coming in about down 4.4%. July has improved a bit from that and is running about middle of our guidance range. I think most of it, Larry, was macro related. We saw positive mix on our product promotions, so we really contribute the sales weakness to -- we initially thought it was potentially all of the discounting that was done at the causal dining and bar and grill concepts. However, as we now hear from those concepts that they experienced weakness as well, my theory is that -- and this is just theory, because I am not an economist -- is that we typically see a nice lift in the summer as kids are off of school, as college kids come home and get part-time sales jobs. And we just did not see that typical seasonal lift and I don’t think most of the competitors saw the lift that we would see in June. If you look at unemployment rates among teenagers, very high at about 24% so they are just not getting those summer jobs and don’t have the discretionary income or spending that they would typically have. So I think the products are still working well. In terms of our value offerings and what we have planned to address the sales weakness, we’ll continue the strategy of -- kind of our barbell strategy, so we will continue to see line extensions along the Smoothie platform, around the bowl platform, around the mini platform. However, we will augment that with additional value promotions and those value promotions are less about discounting -- they are more around discounting bundled meals, so pulling together products such as the Big Deal that offer a pretty compelling price point but from a margin standpoint, they are not eroding our margins. We have several items value products and promotions in test, including a product that we developed and reciped to be at value priced yet it’s margin neutral or margin friendly, actually. We also have a promotion that we will be launching that is very targeted, designed to drive traffic but also increase sales of our beverages and sides, which we’ve seen some weakness on as I had indicated in my comments. So does that help?
Lawrence Miller - RBC Capital Markets: Yeah, that’s great, thanks. I appreciate the color.
Operator: Our next question will come from Joseph Buckley with BAS-ML.
Joseph Buckley - BAS-ML: Thank you. Linda, you addressed this to some extent already but I kind of had the same reaction, wondering if some of casual dining discounts were affecting you because you’ve done such a good job moving the brand up over the last couple of years and even though those comps are negative, they are a little less negative in some instances and I guess I’m curious if you are convinced that that’s not a factor or you think it might be somewhat of a factor or just how you are thinking about it.
Linda A. Lang: You know, Joe, I think there probably is some impact there simply because the price points are so compelling when you look at meals under $7, you look at two for $20. There probably is some impact and it’s hard to say because I don’t have all the details on whether or not they are seeing big traffic increases, so I think the other issue is on the QSR side, we’re seeing a lot more coupons out there. Pretty aggressive discounts in couponing.
Joseph Buckley - BAS-ML: Okay, and the Jerry, just going back to the margins for a moment, so food costs side, they are going to be a lot more favorable in the fourth quarter so it’s really a question of balancing that versus deleveraging, if the comps stay about where they are?
Jerry P. Rebel: That’s exactly right, Joe. If you look at where the fourth quarter margins are likely to be, we are going to get probably a couple hundred basis point improvement on the food cost side. We’ll get about a 50 basis point improvement on the rollover of the Hurricane Ike, and we’ll get some utility help also but we will get some -- and then the rest of it will be the deleverage on the down side going from down 0.8 to down 3.5 or down 2.5 to a 4.5 comp so the deleverage will offset a number of the positive trends.
Joseph Buckley - BAS-ML: Okay, and then just one more question -- I understand kind of the value approach and the bundled meal approach to try to create great value. Will advertising spend or marketing spend be picked up in any way to try to respond to the sales softness as well?
Linda A. Lang: No, we are not increasing our advertising spend. However, media rates are down so we are getting a little bit more for our money and we are doing more viral marketing as well.
Joseph Buckley - BAS-ML: Okay. Thank you.
Operator: Our next question will come from Christopher O'Cull with SunTrust.
Christopher O'Cull - SunTrust Robinson Humphrey: Linda, my question relates to the refranchising program and I guess in the respect of if the economy or if the sales are starting to soften and we do see company store profits come under some pressure, would that affect in any way your willingness to sell stores if their profitability does go down or how does that affect pricing and that kind of thing?
Linda A. Lang: Right. You know, we -- I think you are aware of the model that we used to determine kind of the break-even price for selling a franchise restaurant, so yes, it would have an impact. We certainly would not want to go out and significantly reduce the value in response to softening sales or weakening margins, so we have the -- the benefit is that we do have the flexibility in terms of executing the franchise strategy. We do not have to sell the restaurants and we wouldn’t sell them at a significant discounted value.
Christopher O'Cull - SunTrust Robinson Humphrey: Where are the restaurants that are being sold today? Are they continuing to be focused around California? I know at one point Texas became a larger company-owned market than California for you guys.
Linda A. Lang: Right. You know, we have been selling them across the system, although Texas was a very large company market for us and so there have been several deals that have been done in the Texas market and we would expect to continue that as well.
Jerry P. Rebel: Chris, Q3 most of the restaurants sold were in Texas.
Christopher O'Cull - SunTrust Robinson Humphrey: Great. Thanks, guys.
Operator: Our next question will come from Bob Derrington with Morgan Keegan.
Bob Derrington - Morgan Keegan & Company, Inc.: Thank you. If I could follow-up on Chris’ question a second ago on the refranchising, can you give us some color on the market on which you took a loss -- are there more like that, were there specifics about that that made you go ahead and bite the bullet and take a loss on that refranchising?
Jerry P. Rebel: The issue with that particular market and -- is that it was an under-performing market and oftentimes in under-performing markets, we can actually do better on those letting the franchisees run them with the local knowledge. They will probably have a better opportunity to turn around the sales performance given that local knowledge and the local contacts. And we haven’t identified what that market is because there is uncertainty around the closing of that market and the fact that resulting from that uncertainty, we have not informed all of our employees yet, so we’ll let you know more about that market as things materialize.
Bob Derrington - Morgan Keegan & Company, Inc.: Jerry, are there other markets in which there may be some risk, you know, along the similar lines?
Jerry P. Rebel: Nothing of any significance, Bob. I think by and large, we would expect to make money when we sell restaurants to franchisees. This is the first group of restaurants that we’ve sold where we’ve experience a loss and while I wouldn’t rule out that there could be others, I would expect the vast majority to continue to show nice gains.
Bob Derrington - Morgan Keegan & Company, Inc.: One last, if I may -- can you update us on the financing for the franchise -- the refranchising process? Do you anticipate additional loans to franchisees to kind of help the process or are you seeing any loosening up there?
Jerry P. Rebel: Well, what we are seeing is -- we are seeing some loosening and I’ll use that term loosely, if you’ll pardon that expression but as an example, GE Capital has come back in, so they announced that they were going to do a deal with one of our franchisees and we are seeing a willingness for them to be able to lend at more competitive rates than what they were willing to lend at earlier in the year, so I think that’s a positive sign. And we are not at this point having franchisees have significant difficulty getting financing. The issue is around the timing of the transactions and so deals that used to take 30 to 45 days to close are much less predictable and are taking much longer and that’s evidenced by the wider range of our guidance in the fourth quarter with still a $5 million spread out there no our expected gains.
Bob Derrington - Morgan Keegan & Company, Inc.: Okay, super. Thank you very much.
Operator: Our next question will come from Jeffrey Omohundro with Wells Fargo.
Jeffrey Omohundro - Wells Fargo: Thanks. Just a question on the value side and the big deal promo -- just maybe a little color of initial response since you rolled that out, what the consumer is saying. And is it out throughout the whole system yet and how would you -- how long would you anticipate running the promo? Thanks.
Linda A. Lang: Good morning, Jeff. Generally we see very nice response to Big Deal and it’s -- the response so far has been very good in terms of the big deal. We would expect to generally run -- we run promotions anywhere from four to eight weeks and I forgot your other -- was there another question? Oh, and is it in the majority of the system -- yes, it is in most of the system.
Jeffrey Omohundro - Wells Fargo: Great. Thank you very much.
Operator: Our next question will come from Steven Rees with J.P. Morgan.
Steven Rees - J.P. Morgan: Thank you. Just given that the slow-down in QSR appears to be fairly widespread in nature, I would just be curious to know if this at all impacts your capital allocation strategies in fiscal 2010 and beyond. I know you mentioned that CapEx is going to come down by $25 million but I would assume some of that is just from the refranchising and less remodel, so can you talk about how you are thinking about unit development in the slow-down and then what drove the $25 million reduction in CapEx relative to your previous guidance?
Jerry P. Rebel: What we are looking at in terms of a capital allocation is you will still see us investing in new restaurant growth for the Jack in the Box brand. We’ll do about 60 restaurants this year. We may not do quite as many next year but it’s still going to be a fairly healthy number. We do like the average unit volumes of the restaurants that we have opened up the new restaurants in 2008 and 2009 are both averaging higher AUVs than what our system average is, so we like the results there and we’ll continue to invest capital in those Jack in the Box restaurants. We will probably slow on the Qdoba side a bit. I think if we sat here about a year ago, we were talking about ramping up Qdoba growth but the downturn in the development cycle and the ability of developers and for shopping centers and the like to get credit is still difficult. We expect to slow the rate of growth on Qdoba and with the remodel piece, while we are about 90% complete on company exterior reimages, we still have about 40% of our interior reimages to go, so I think were it not for the reimage program, we’d probably see even a lower CapEx than what we are currently anticipating for next year. Okay, and then just a follow-up, I guess I was surprised by some of the variances between markets, that California is still outperforming, that Texas is actually still positive and I guess being a regional QSR company, I mean, how -- I guess what are you doing to maybe drive sales in those markets that are the weakest, like a Las Vegas or a Phoenix? Are you doing anything special on the value side in those markets or are you planning to drive improvement there?
Linda A. Lang: We do some targeted promotions and couponing and so forth, more localized promotions in those markets to try to address the sales weakness.
Operator: Our next question will come from Matthew DiFrisco with Oppenheimer.
Matthew DiFrisco - Oppenheimer & Co.: Thank you. Could you give us an update, either Jerry or Linda, with respect to the development pipeline that you have, how it’s changed now that you’ve beaten the mark, I guess, on the initial goal of refranchising your company-owned stores -- with that, how many development agreements have been added? And if you could sort of put that into the context of what you came in with in the year and what you are leaving with, just incremental add from the target of selling 150 stores.
Jerry P. Rebel: We have planned to open about 20 franchise locations this year. I think we opened about 15 franchise locations last year so the good news is is that in spite of a difficult credit market, the franchisees are opening up more restaurants than what they had been. And I would -- I think Paul indicated that we had the pipeline of franchise deals under the development agreement to have something in the 80 restaurant range. That’s about the same as where it was just a quarter ago. We wouldn’t expect to see significant movement for the quarter on that pipeline.
Paul L. Schultz: What I would add to it is the underperforming market deal does have a pretty significant development agreement associated with it.
Matthew DiFrisco - Oppenheimer & Co.: Okay, and with those agreements to come, how do they related, the royalty rate, the initial royalty rate of those stores relative to the average royalty rate being paid now? Is it higher or lower, in line, given that they are underperforming markets?
Jerry P. Rebel: Well, not all of that backlog is in underperforming markets, so the regular markets you would expect to be in line and on the new locations, depending on when they open, they may have some graduated royalty payments depending on the expected opening date in that underperforming market.
Matthew DiFrisco - Oppenheimer & Co.: Okay, great. Thank you.
Operator: Our next question will come from Steven Kron with Goldman Sachs.
Steven Kron - Goldman Sachs: Great, thanks. Linda, I guess just to start off with, on the same-store sales discussion in the prepared remarks, you had indicated that June saw the softening and you made the comment not inconsistent with the industry overall. Can you just put some context around that, the data that you guys look at? Did your sales kind of soften right around the same time as what you see the industry did? And you cite kind of competitive discounting as potentially one of the reasons for your softness. Did the magnitude of your pressure outpace that of the industry? And related to that, it seems like July came back a little bit for you. Can you put that in the context of what the comparison looked like last year in July? Did it get a little bit easier to cycle? Thanks.
Linda A. Lang: The June softening I think is very consistent with what we have heard from the industry, both QSR and casual dining, so I don’t think we were -- it was unusual or we were different than the competitors in terms of the timing and the magnitude of the sales softening. What happened in July I think was we got the benefit of launching the big deal value offering, the bundled meal deal, so that did help bring the sales up and we continue to see traction with the Big Deal promotion. We are now lapping, beginning to lap the rollout of Smoothies, so that will make it a little more challenging in terms of our sales of our beverage line but as I indicated earlier, we have efforts underway to really address the areas of weakness of our sales, which I said were beverages, breakfast, sides, and shakes.
Steven Kron - Goldman Sachs: Okay, and then I guess Jerry, just on the restaurant operating profit line, can you kind of quantify like you did with commodities and Hurricane Ike maybe what the headwind might be from minimum wage in basis points? And I was just wondering, I guess given the expectation of kind of softer same-store sales, at least in the near-term, are there other levers from a controllable standpoint that over and above what you typically do that you guys are looking at to protect the margins a bit?
Jerry P. Rebel: Let me give you some color on the deleverage from Q4 to Q3, because I think it really is what you are asking about. If you look at the minimum wage impact, we think that’s likely to be about 20 basis points. And then if you look at just the normal seasonal trend differences, as well as the deleverage, you are probably in the 170 basis point range there, so that would equate to most of the margin decline from Q3 to Q4 on a sequential basis. We do have some levers that we can pull with respect to margins if sales continue but I don’t think that you are going to see us be able to reduce costs enough at the restaurant level to be able to offset significant same-store sales declines.
Steven Kron - Goldman Sachs: Okay, that’s helpful. Thank you.
Operator: Our next question will come from Keith Siegner with Credit Suisse.
Keith Siegner - Credit Suisse: Thanks. One quick clarification and some other questions -- the 150 target for refranchising, that doesn’t include the under-performing market, right? That’s calendar year, not by fiscal year-end?
Jerry P. Rebel: That’s correct. That does not include those locations.
Keith Siegner - Credit Suisse: Okay, I just wanted to make that clear. One question -- in relation to franchise remodel reimbursement expenses, can you just give us a quick update on maybe what the expense was for the quarter and year-to-date, maybe any changes to that? I mean, we’re coming up on the end of the exterior remodel program -- how should we think about that expense going forward.
Jerry P. Rebel: Well, let me answer the last question first -- we would expect -- if you’ll remember, we had identified we would provide franchisees with $25,000 of assistance on their entire remodel program, $5,000 of which would be allocated to the interior.
Paul L. Schultz: Exterior.
Jerry P. Rebel: Exterior, I’m sorry, exterior. So we still have the $20,000 to go going forward on those franchise restaurants that have not yet had the interior reimage completed. Year-to-date, we’ve spent a little -- I’ll call it $1.85 million this year on rebates to franchisees and about $1.6 million for the same time last year through the third quarter.
Keith Siegner - Credit Suisse: Okay, and then one other question -- next year, fiscal 2010, it has a 53rd week and I was just wondering, can you remind us whether expenses are booked on a week’s basis or a quarter’s basis and therefore whether we see that leverage on D&A and G&A in the fourth quarter next year, just to make sure we have that straight?
Jerry P. Rebel: Most of the costs are going to be on a week basis, so I don’t think [we are going to see] that week be significantly better than any other week.
Keith Siegner - Credit Suisse: Okay, and then one last clarification -- the positive mark-to-market adjustment in 3Q on the retirement policies, can you just tell us like maybe in basis points, like you’ve done in the past how much that was, just so we could see the underlying trend?
Jerry P. Rebel: It was a little under $1.7 million in the quarter and that was slightly more than offset by the additional pre-opening costs and some impairment that we took.
Keith Siegner - Credit Suisse: All right, that’s it for me. Thank you.
Operator: Our next question will come from Rachael Rothman with Wedbush Morgan.
Rachael Rothman - Wedbush Morgan : Good morning. I just wanted to ask about the refranchising, if we could, and I’m sorry if I missed it. Jerry was cutting in and out a little bit on my end. I guess as you think about the percentage of stores that you’ve been refranchising that are these underperforming stores and you’ve slightly surprised to the upside in terms of the number of stores as well, how should we think about the organic contribution to the margin just from the elimination of the underperforming stores as we go forward? So basically assuming -- ignoring all same-store sales and food costs, just organically how is the positive mix shift that will result from that going to impact your margins?
Jerry P. Rebel: Rachael, without going into a lot of detail on this, you would expect if we sell a lower performing or an underperforming group of restaurants or a whole market that that would tend to help the margin because you would obviously expect them to have lower restaurant operating margins and I think that would be a fair assumption. So I think if we do sell some of those locations, you would tend to see the margin level go up. However, we don’t have a significant number of underperforming markets so I wouldn’t expect you to see a tremendous lift on that on a macro level.
Rachael Rothman - Wedbush Morgan : So I guess as we think about fiscal 2010, it sounds like there may be a divergence between the same-store sales growth and the lift in average unit volumes or average weekly sales caused by this positive mix shift, and then some modest benefit to margin. So should we think that for a given level of same-store sales, the performance next year may be better than one would ordinarily think without these changes in the business portfolio? Or how should we think about modeling 2010, forgetting same-store but obviously just incorporating all of these mix shifts and the impact that will have on the AUVs and the restaurant level profitability?
Jerry P. Rebel: I don’t think the mix shift based upon this anticipated transaction that we’ve just described is going to be enough to move the numbers, Rachael. I would model I think how you have been modeling on that. And of course, we’re not ready to talk about full 2010 yet anyway, which we’ll do on the next call but I don’t see --
Rachael Rothman - Wedbush Morgan : Did I -- go ahead.
Jerry P. Rebel: -- [inaudible] on this.
Rachael Rothman - Wedbush Morgan : Okay, am I correct in that earlier in the year, and maybe the term underperforming is too harsh but throughout this year, have you been selling lower volume stores or did I just get that confused and forget totally, which is entirely possible?
Jerry P. Rebel: We have sold some lower volume restaurants. I think you are right in not classifying them as underperforming. So we can make a lot of money selling -- we can make a lot of money running a restaurant in Houston at $1.1 million that we could not make that kind of money running a restaurant in L.A. at $1.1 million. You have to cover the operating cost differences. So I’m not sure that we should equate the difference in the AUVs to necessarily different restaurant operating margin rates.
Rachael Rothman - Wedbush Morgan : Okay, but it will impact the spread between average unit volume growth and same-store sales growth as we think about the pace going forward into next year?
Jerry P. Rebel: I think the math would work that way.
Rachael Rothman - Wedbush Morgan : Excellent. Thank you so much.
Operator: Our next question will come from Steve West with Stifel Nicolaus.
Steve West - Stifel Nicolaus : Just real quick, a couple of follow-up questions on the refranchise, you’ve got the $12 million in the outstanding bridge loans. Can you kind of tell me what you think as far as how that will flush out at the end of the year? And with respect to that, is there some risk that those deals don’t go through and then you’ve got to pull back those transactions? And then kind of the second piece of that, with development pipeline, are you guys seeing any kind of pull-back or kind of restriction in real estate development? We’re hearing that from some other restaurants out there and I haven’t really heard that from you guys. Thanks.
Jerry P. Rebel: On the financing assistance, we said $12.3 million outstanding as of the end of the third quarter. We’ve then repaid $2.8 million of that thus far. We would expect to have some continued payments against that during Q4. I’m not prepared to say exactly what that looks like for the balance -- the fourth quarter. The wildcard is is what we don’t know at this point is if there will be any additional financing assistance for any fourth quarter deals that have not yet closed.
Linda A. Lang: And the pull-back, yes, we are seeing that with regard to Qdoba development -- developers just not getting the financing to complete their development of retail centers. We are not seeing that in the situation with Jack in the Box with our freestanding prototypes.
Steve West - Stifel Nicolaus : Okay, great. Thank you very much.
Operator: (Operator Instructions) Our next question will come from Paul Westra with Cowen & Company.
Paul Westra - Cowen & Company:  Just a question -- given your flat outlook for commodities in fiscal 2010, I was curious to hear what you think your inflation outlook could be for labor and other key I guess inputs going forward and in light of those outlooks, what pricing might be needed to sort of hold margins flat, all things being equal, and if that would be your strategy?
Jerry P. Rebel: Paul, I guess the downside of us providing a couple of peaks at 2010 is that [or this early], which we usually don’t do is that you want more peaks, so we’re really not prepared to talk about what 2010 looks like yet other than those two areas that we already described.
Paul Westra - Cowen & Company:  Okay, fair enough. And then there’s a commentary on G&A, I guess it’s somewhat related -- outside your refranchising, any activities on that line item? Do you expect to get general leverage? Did you see -- I mean, leverage last quarter and just maybe some efforts to curtail the hold-down costs but they went so far, I was wondering how much other initiatives are underway in that line.
Jerry P. Rebel: Well, we are -- we always have initiatives on our G&A line as well as all of our cost lines, for that matter. And I think we’ve done a pretty good job on reengineering some of our cost structure here over the last several years and we continue to have significant efforts ongoing that we would expect to get some leverage going forward. On the refranchise front though, it does look like we are going to be able to close another regional office here in the very near future, which we would estimate would have an impact of somewhere in the $1 million range in 2010 on a full-year basis -- no impact though for this year.
Paul Westra - Cowen & Company:  Okay, great. That’s helpful. Thank you.
Operator: Our next question will come from Matthew DiFrisco with Oppenheimer.
Matthew DiFrisco - Oppenheimer & Co.: Thank you. With respect to the difference you mentioned in the regions, Texas remained positive, California negative but not as bad as Arizona and Vegas -- given the heat wave that’s gone on in Texas, is that market experiencing the same weakness that you cited in beverages or is that part the difference in that their beverage business might be holding up a little better, given the hot weather on a year-over-year basis with respect to the other markets that might be negative?
Linda A. Lang: Yeah, we really saw weakness across the board in that mid-June timeframe or beginning of June. All markets really saw the same decline in sales.
Matthew DiFrisco - Oppenheimer & Co.: So then in your prepared remarks, you said Texas was positive -- was it not positive then in June?
Linda A. Lang: No, it was not.
Matthew DiFrisco - Oppenheimer & Co.: It was positive for the quarter then?
Linda A. Lang: Yes.
Matthew DiFrisco - Oppenheimer & Co.: And did every market participate in the July recovery the same, so would it be correct to assume that Texas has returned to positive in July or no?
Linda A. Lang: You know, we wouldn’t disclose that level of detail but really across the board, we have seen a lift in sales across the board and we believe that’s due to the Big Deal, the markets that have the Big Deal.
Matthew DiFrisco - Oppenheimer & Co.: Okay. Thank you.
Linda A. Lang: You’re welcome. I think that’s it. Thank you very much for joining us this morning.
Operator: And this will conclude today’s conference call. You may now disconnect.